Jonas Ström: Okay. Good morning, all, and a warm welcome to ABG Sundal Collier's Q4 results presentation. Before we kick off the presentation, I would like to mention that we will, as usually have a Q&A session after the presentation and should you want to raise a question, please use the Q&A function in Teams, and we will answer all your questions in turn. We ended the year on a high, and we are entering 2026 from a position of strength. We have continued to build momentum during the year, and we have proven our ability to deliver with market conditions in 2025 sometimes being helpful and sometimes being anything but helpful. We have continued to focus on what we can influence, namely, how we advise our clients, how we execute on our advice and our own growth strategy and how we resolve situations that arise either because of market conditions or client-specific circumstances. And we have continued to focus on ensuring our own profitability, also short term, enabling us to make long-term investments to take investment costs that will drive long-term profitability. Business-wise, we are happy to observe continued strength within our debt capital markets operations and not least within our M&A operations with record high revenues for us in 2025. Conditions in equity capital markets have gradually improved during the year and IPO activity picked up somewhat in 2025, especially in Sweden. Even though IPOs tend to be the product that is the most sensitive in our product portfolio to general volatility, either economically or politically induced, we observed that our backlog when it comes to IPOs is in a better shape entering 2026 versus 2025. We continue to improve our firm to become the Nordic investment bank of choice, the investment bank of choice for clients, talents and investors. We continue to focusing on strengthening our positions in our core operations as well as developing our business by broadening our offering to new client groups, such as private banking and alternative investments. On that note, strengthening our position, we are pleased with having succeeded in joining forces with FIH Partners in Denmark, the by far top-ranked independent financial adviser in Denmark for a decade. And we are doing that at a point in time with all-time high revenues in our current Danish operations. By continuing on this track, we are committed to our long-term targets of increasing revenue per head by at least 20% versus the 2024 level and to deliver a mid-cycle operating margin of at least 25%. So in the fourth quarter that just ended, this resulted in us if we flip to the next slide, looking at the numbers, please. Delivering revenue growth of 15% to NOK 720 million. This growth is a result of, especially in the quarter, a strength in our M&A operations. But looking at the entire year, we have had solid contributions from all geographies and product areas as well as sectors. In the full year, we ended up with revenues of NOK 2.172 billion, a top line growth of 12% with, as alluded to earlier, broad contribution from all geographies with Denmark delivering all-time higher revenues and solid growth from both Sweden and Norway as well. Continuing with our operating margin that increased with 2 percentage points from 21% to 23%. That includes -- the 23% includes costs for setting up our new business initiatives, private banking and alternative investments and that had a negative effect on the operating margin of some 3 percentage points in 2025 versus some 2 percentage points in 2024. We delivered earnings per share at NOK 0.26 in the quarter, up from NOK 0.21, an increase of 24%, highlighting the operational leverage in our business. Year-to-date, our EPS ended up at NOK 0.66 versus NOK 0.56 on a fully diluted basis last year, including the investments once again in our new business initiative, having a negative impact on EPS by NOK 0.07 this year and NOK 0.06 last year, respectively. So let's continue looking at the macro and market backdrop. The markets continue to be supported by low volatility in the quarter, even though we had some spikes in the quarter with VIX sitting well above the 20 level a couple of times, introducing short-term hesitation amongst the investor community. But we are at a low level, and we feel that the conditions have stabilized. Credit conditions have also continued to improve. Credit spreads, as illustrated on the right-hand side of this chart, continue to tighten, and we have seen the very strong conditions in debt capital markets in Q4 continuing into the start of this year. So with strong credit conditions, low volatility and a market that seems to be very, very reluctant to take everything that is stated from a political point of view. As granted, we feel that we have stronger conditions for us to deliver looking at the market situation 2026 versus 2025. Continuing with the next slide and looking at how our main markets within Investment Banking have performed in the Nordics during the year and the last couple of quarters and starting off with equity capital markets. The headline number is, of course, impressive with an increase of 77% to NOK 139 billion in total volumes in the fourth quarter, 2025. This is slightly distorted by one or two large transactions and the biggest one being the DKK 60 billion rights issue in Orsted in Q4, a transaction that is typically not part of our addressable market. Excluding that and maybe one other one-off, so to speak, transaction, ECM volumes were actually down both in the quarter and full year, as you can see, excluding these rights issues on the left-hand side of the chart. Debt capital markets on the contrary, the headline number is very representative for actual underlying performance in markets being very, very strong. 2025 was a record year in terms of volumes overall. And we are pleased with our own position within DCM, strengthening our position in Sweden to become the #1 player in DCM high-yield 2025. The uptick and recovery seen from 2021 is, to some extent, of course, cyclical, but not only that, it is a structural growth we are witnessing. The very vibrant Nordic DCM market has attracted many non-Nordic issuers as well looking to tap into the opportunities offered here. And finally, looking at the M&A market, that continues to be, well, stable or muted depending on how you want to look at it. In the absence of the expected pickup in activity levels, such as structured processes, not the bilateral ones we've seen dominating the arena so far, number of transactions is still rather muted. Volumes actually down by 5% in the quarter year-on-year. And more or less flat, up by 4% full year -- over full year last year. Okay. Moving over, looking to the next slide on how we performed against this backdrop. In our Corporate Financing operations, we delivered revenues at NOK 736 million in the full year, which is down by 7% versus 2024. As you can see on the right-hand side of this slide, we closed numerous transactions during the quarter with a widespread between both ECM and DCM sectors and geographies. A couple of IPOs during the quarter, one in India for Orkla and one in Norway and lots of secondary placings, our DCM operation was highly active, as you can see in the quarter with quite a few large transactions completed. Moving over to the next slide, please, looking at how we did in our M&A business. Well, we delivered what can be, I'd say, best described as a stunning set of numbers. Revenue accelerated during the year, with Q4 ending up at NOK 334 million, up by 55% and versus Q4 last year, and we reached a revenue level of NOK 829 million for the full year, which is up by 44%. This is by far a record in terms of M&A revenues for us, outperforming the general activity in the market. And as you can see on the right-hand side of this slide, we closed quite a few high-profile transactions during the quarter, yet again, with a decent spread between sectors and contribution from all geographies. Let's continue with looking at our Brokerage and Research operations. The headline number in terms of revenues has been remarkably steady over the last 4 or 5 years, with revenues around the NOK 600 million mark. We actually reached above the 2021 post-MiFID world record level with NOK 606 million in revenues, which is up by 7% year-on-year. But looking under the hood, there are differences, as always, between our different desks, locations and products, with Norway equity sales yet again, delivering impressive growth, not least from new brokerage clients and I'd say, stability elsewhere. I would also like to highlight the strong performance within our Research department. We cover some 400 companies, which is amongst the highest of all Nordic investment banks, which is crucial for our ability to deliver on both Brokerage and IPOs over time, of course. In the latest Prospera survey, we achieved top 3 positions in 23 sectors, including the #1 position in important sectors such as Bank and Financials in Sweden, and Shipping, Seafood, Materials, Real Estate and Construction in Norway. Well done, all. Okay. So over to the next slide, please, looking at our headcount that has been rather or very stable, I would say, over the last couple of years. We have a continued focus on growth of front staff. We have in these numbers included our new business initiatives of which private banking is the biggest one, which is in line with our strategy. But the average year-to-date of 332 FTEs is basically flat versus same period last year. We are ready to grow that number now. We have, meanwhile, slimmed -- continued to slim our Support and Operations division slightly, and we will continue to focus on leveraging our well-invested platform further, not least as illustrated by the acquisition of FIH in Denmark. And as you can see on the right-hand side of this slide, we have come a long way in our target of improving revenue per head by at least 20% versus 2024. The task ahead now is to keep and improved that level slightly while increasing number of FTEs, mainly on front operations. That is the most important definition for us when it comes to continued profitable growth. Okay. Let's continue looking at our operating cost level. That increased by 10% to NOK 1.681 billion, which is an increase by, yes, 10% basically. While we have kept the compensation to revenue ratio steady around 55-plus percent, the increased profitability obviously is the main driver for the increase in costs due to our variable remuneration model. IT systems, where inflation comes with a bit of a lag, increased costs for IT systems and increased activity levels on our front operation contributes further to that slight cost increase, as do our investments in our new ventures, even though the year-on-year effect is marginal. But looking at our underlying fixed cost base in Q4 eliminating the still negative effects from the weak and -- weaker NOK, especially in relation to SEK, the underlying cost base is flat year-on-year. So let's flip to the next slide and talk about -- a bit about our capitalization and the proposed dividend, which is NOK 0.55 per share. That proposal reflects our commitment to distribute excess capital back to shareholders through cash dividends and buybacks. It should be noted that the core capital effect from the acquisition of FIH, the goodwill effect, is some NOK 100 million or NOK 0.18 per diluted share. NOK 0.55 in dividend allows for both a healthy cash distribution and buybacks while maintaining solid capitalization, as you can see on the right-hand side of this graph. So before we conclude, I would like to draw your attention to our acquisition of FIH Partners. By joining forces with FIH, we will significantly strengthen our position in Denmark. We are joining forces with a firm that is #1 within Danish M&A and also has been ranked as the #1 financial adviser in Prospera for basically the last decade. This is a firm that has closed over 200 transactions with some EUR 110 billion in deal value. We are welcoming some 27 professionals to the ABG family with a combined plus 200 years of experience. If we continue with the next slide, yes, we are joining forces also with FIH at a point in time where, as I alluded to earlier, we are delivering our best year ever in Denmark. From our combined #1 position in Denmark, we can now offer a much broader product portfolio, such as bonds or IPOs, for instance, to a larger client group. We are convinced we are a perfect fit with both of us having a strong partnership culture and eagerness to win. We take nothing for granted, but our own ability to deliver top-notch services and advice to our clients as well as potential clients. By joining forces by -- with FIH, our clear ambition is to fortify the #1 position within Danish M&A and build a market-leading position within ECM and DCM. This is exactly in line with our strategic ambitions to strengthen our positions in core markets and to leverage our already well-invested platform. So with that, I'd like to summarize the key takeaways from Q4 and the full year. We had a strong year and a strong quarter, not least. In the quarter, revenue is up by 15% and 12% for the full year. This year, the main driver behind our growth, both in the quarter and full year is our remarkably strong M&A operations. Having said that, ECM conditions improved during the year and the IPO window reopened, particularly in Sweden. DCM continued on a high level, and we kept our strong position overall in the Nordic high-yield segment. Brokerage and Research continued to deliver stable and solid revenues throughout the year. And we demonstrated our ability to execute on our strategy with the acquisition of FIH, at the same time as ABG Denmark delivered its best year ever. The development over the last couple of years with better contribution and stronger positions across all geographies has strengthened our diversified business model further. So with that, I'd like to open up the floor for questions should there be any.
Operator: Yes, we have received one. That is, what is your current pipeline visibility?
Jonas Ström: Yes, that's a very good question. Pipeline is one thing in terms of gross numbers, the absolute number. Quality is another thing. And I think the best way to measure quality, high versus low, is to look at how diversified the pipeline is. Diversified in terms of products, sectors and geographies. And from that point of view, I'd say that we are in a better shape pipeline-wise than in a long time. As always, the obvious disclaimer is that market conditions short term can obviously be a bit of an obstacle. But once again, having such a diversified pipeline entering 2026 makes me comfortable we are on a continued path to growth.
Operator: I believe that was it from the audience today.
Jonas Ström: Okay. Yours truly and Kristian Fyksen, our CEO in Norway, are ready to take on any questions, should you have any follow-ups. We will be talking to media and we stuck short term, but please do not hesitate to reach out. I'd suggest that you contact Anna Tropp if you have any further follow-ups, and we will try to revert as soon as possible. Thank you for tuning in this morning.